Operator: Good day and thank you for standing by. Welcome to the Paylocity’s Second Quarter Fiscal Year 2022 Earnings Conference Call. [Operator Instructions] Please be advised that today’s conference may be recorded. [Operator Instructions] I'd like to turn the conference over to your host today, Ryan Glenn, Senior Vice President of Finance. Please go ahead.
Ryan Glenn: Good afternoon, and welcome to Paylocity's earnings results call for the second quarter of fiscal 2022, which ended on December 31, 2021. I'm Ryan Glenn, Senior Vice President of Finance, and joining me on the call today is Steve Beauchamp, CEO of Paylocity; and Toby Williams, CFO of Paylocity. Today, we will be discussing the results announced in our press release issued after the market closed. A webcast replay of this call will be available for the next 45 days on our website under the Investor Relations tab. Before beginning, we must caution you that today's remarks, including statements made during the question-and-answer session, contain forward-looking statements. These statements are subject to numerous important factors, risks and uncertainties, which could cause actual results to differ from the results implied by these or other forward-looking statements. Also, these statements are based solely on the present information and are subject to risks and uncertainties that can cause actual results to differ materially from those results projected in the forward-looking statements. For additional information, please refer to our filings with the Securities and Exchange Commission for the risk factors contained therein and other disclosures. We do not undertake any duty to update any forward-looking statements. Also, during the course of today's call, we will refer to certain non-GAAP financial measures. We believe that non-GAAP measures are more representative of how we internally measure the business, and there is a reconciliation schedule detailing these results currently available in our press release which is located on our website at paylocity.com under the Investor Relations tab and filed with the Securities and Exchange Commission. Please note that we are unable to reconcile any forward-looking non-GAAP financial measure to their directly comparable GAAP financial measure because the information, which is needed to complete a reconciliation, is unavailable at this time without unreasonable effort. In regards to our upcoming conference schedule, Steve will be virtually attending the JMP Securities Technology Conference on March 7. And I will be in Florida attending the Stifel Executive Summit on March 7 and the Raymond James Institutional Investors Conference on March 9. Please let me know if you would like to schedule time with us at any of these events. With that, let me turn the call over to Steve.
Steve Beauchamp: Thank you, Ryan. And thanks to all of you for joining us on our second quarter fiscal 2022 earnings call. Our differentiated value proposition of providing the most modern software in the industry, coupled with strong sales execution resulted in our second consecutive quarter of 34% revenue growth. Total revenue was $196 million or 34% growth over Q2 of last year, beating the top end of our guidance by $6.5 million. Our sales team continued to build momentum across all segments of our target market and delivered record selling season results, which position us very well headed into the back half of the fiscal year. Adjusted EBITDA for the second quarter was $46.6 million or 23.8% margin and exceeded the top end of our guidance by $4.6 million. As discussed last quarter, our award-winning and remote friendly culture is resonating with perspective employees and we continue to hire successfully across all areas of the business, including sales and marketing, R&D and operations. From a product perspective, our sustained investment in R&D continues to pay dividends in the marketplace as our value proposition of providing the most modern product suite resonates with clients and prospects. Our products focused on the modern workforce, including premium video, learning management, surveys, community and modern workforce index continue to see increase attach, utilization and conversion rates. Companies focused on digital transformation find our products particularly compelling, using products like premium video and community as examples. We continue to see utilization increases with monthly premium video creations hitting a record high in the quarter. While we also saw a record number of monthly active users in our community product. Lastly, clients are seeing higher employee engagement as a result of the action-oriented recommendations from our machine learning powered Modern Workforce Index, which we provide to all of our clients. We are also focused on continuing to drive innovation and differentiation through our integration strategy. In January, we completed the acquisition of Cloudsnap, a low-code integration automation platform that enables the development and deployment of API integrations. Cloudsnap’s technology will enable Paylocity to deliver modern integrations and seamless data sharing between critical systems more efficiently and effectively, while helping to unify and automate business processes across HR, Finance, Benefits, and other systems. Our continued investment in providing best-in-class integration capability supports our strategy of automating the exchange of data for our clients between critical systems. We believe this value proposition will also resonate with our channel partners as Cloudsnap will expand the breadth of solutions our clients can seamlessly integrate with. From a financial perspective, Cloudsnap will not materially contribute to our revenue, but will represent a headwind of approximately 10 basis points to adjusted EBITDA in fiscal 2022, which we have factored into our updated guidance. Our value proposition of providing the most modern software in the industry is resonating throughout our target market and increasingly so with prospects who have greater than a thousand employees. Given the success we're seeing at the higher end of our market and the fact that today we serve a significant number of clients with more than a thousand employees, we are raising the high end of our target market from 1,000 employees up to 5,000 employees. The second fiscal quarter is also a very busy time of year for our operations team, as they work closely with our clients on year end processing of payrolls, W-2s, 1095s and annual tax form filings to federal, state and local agencies. I want to thank all of our employees for their hard work and dedication during this very busy time of year. I would now like to pass the call to Toby to review the financial results in detail and provide updated fiscal 2022 guidance.
Toby Williams: Thanks, Steve. Total revenue for Q2 was $196 million, an increase of 34% with recurring and other revenues up 34.1% from the same period last year. As Steve noted, our sales team had another strong quarter and we were pleased to come in $6.5 million above the top end of our revenue guidance. We continue to make significant investments in research and development and to understand our overall investment in R&D it is important to combine both what we expense and what we capitalize. On a dollar basis, our year-over-year investment in total R&D increased by 21.6% when compared to the second quarter of fiscal 2021. And we remain focused on making incremental investments in R&D throughout fiscal 2022 as we continue to build out the Paylocity platform to serve the needs of the modern workforce. In regards to our go-to-market activities, channel referrals, primarily from benefit brokers and financial advisers, once again represented more than 25% of new business for the second quarter as we continue to leverage both virtual and in-person broker meetings and events to help us maintain the strong source of referrals. On a non-GAAP basis, sales and marketing expenses were 23.7% of revenue in Q2 and we also remain focused on making incremental investments in this area of the business in fiscal 2022 to drive growth. On a non-GAAP basis, G&A costs were 13.1% of revenue in the second quarter versus 13.4% in the same period last year. We remain focused on consistently leveraging our G&A expenses on an annual basis. Our adjusted EBITDA was $46.6 million or 23.8% of revenue for the quarter, which exceeded our guidance by $4.6 million at the top end. We remain committed to progressing towards our adjusted EBITDA target of 30% to 35% over time. Briefly covering our GAAP results for Q2 gross profit was $125.2 million, operating income was $8.1 million, and net income was $9.9 million. In regards to the balance sheet, we ended the quarter with cash, cash equivalents and invested corporate cash of $84.1 million. Additionally, in January, we drew down $50 million from our revolving credit facility to fund the Cloudsnap acquisition. In regard to client held funds and interest income, our average daily balance of client funds was $1.8 billion in Q2. We are estimating the average daily balance will be approximately $2.2 billion in Q3. And we assume an average yield of approximately 5 to 10 basis points in the third quarter. Additionally, please note that our guidance does not include any revenue or profitability benefit from potential, future interest rate increases that may be implemented by the federal reserve. Overall, we're pleased with our performance in Q2, which included another strong quarter for our sales team while also identifying opportunities to demonstrate scale in operational and G&A costs. As Steve mentioned, we continue to see success in hiring across our business, including in key areas, such as R&D, sales, marketing and operations. We expect to continue investing in headcount across all areas of the business in the back half of the fiscal year to ensure we are well positioned to drive growth and scale the business. With that said, I'd like to provide our financial guidance for Q3 and full year fiscal 2022. For the third quarter, total revenue is expected to be in the range of $239 million to $243 million or approximately 30% growth over third quarter fiscal 2021, total revenue. And adjusted EBITDA is expected to be in the range of $77 million to $80 million. And for full year fiscal 2022, total revenue is expected to be in the range of $829 million to $834 million, or approximately 31% growth over fiscal 2021. And adjusted EBITDA is expected to be in the range of $220 million to $224 million implying an adjusted EBITDA margin of approximately 26.7% at the midpoint. And note that we are maintaining the margin percentage guidance despite the roughly 50 basis points of dilutive impact of Blue Marble and Cloudsnap.  In conclusion, we are pleased with our Q2 results and we are also pleased to raise fiscal 2022 guidance to 31% revenue growth at the midpoint, which in combination with the adjusted EBITDA margin represented puts us above the Rule of 50 in fiscal 2022. Operator, we're now ready for questions. Thank you.
Operator: Thank you. [Operator Instructions] Our first question will come from Scott Berg with Needham & Co. Please go ahead.
Scott Berg: Hey Steve and Toby congrats on a good quarter here. I guess, Steve, we'll start with your comments and move on the top end of your target segment up to 5,000. Several years ago, you moved kind of down market to customers that were down to maybe 20, now you're moving upmarket. I guess how should we think about your pace of investments there? How prepared are you today versus this is something we should expect to be, I don't know, more come, two to four or six quarters from now? Help us kind of think through what that looks like for you.
Steve Beauchamp: Yes. So, I think very much like our move down market, the move-up market has happened naturally over time. So as the strength of our product portfolio has improved, and we’ve added all of the different modules. And of course, we’ve really double the amount of product that we sold since we’ve become public, a lot of those products have become stronger because we continue to enhance them year-after-year and quarter-after-quarter, and they start to become more competitive in the 1,000-plus market. And so if you look at over the last, there’s really over the last two, three, four years, we’ve become more and more competitive. We’ve never capped our reps in terms of being able to sell those clients. And sitting here today, we have a significant number of clients over 1,000 employees and find ourselves competing more frequently in that market. So from our perspective, it’s just naturally overtime. And as we continue to make those investments in R&D, which is a really important part of our growth strategy, we think that we’ll continue to have success in that market, and we felt like this was the right time to just make that more visible to The Street, that, that was part of our go-to-market motion.
Scott Berg: Excellent. And then from a follow-up perspective, Steve, you’ve given some good customer engagement kind of statistics and data early on in your prescript or remarks. But how should we think about the retention of those customers maybe versus some customers that aren’t using those modules or maybe don’t have similar kind of engagement with their own employees. Do you see a significant difference there that you can quantify or qualify or maybe not thinking about that the right way?
Steve Beauchamp: Yes. So, I think we’re still a little bit early in the cycle with a lot of these modern workforce products. So, we’ve definitely seen higher attach rates of video. We’ve seen higher attach rates in learning management and surveys and community, which is a free part of our platforms, utilization is increasing significantly. Certainly, our theory is the more we can get employees involved and the more that we can offer additional capabilities to our customers that are looking for both digital transformation and engagement, then those customers are more likely to stay with us. I would say the early signs of that are positive in that direction. But I think that the benefit from those initiatives are still to come since we’re seeing such an uptick, call it, over the last year, maybe 18 months or so.
Scott Berg: Great. That’s all I have. Thanks for taking my questions. Congrats again.
Operator: Thank you. Our next question will come from Terry Tillman with Truist. Please go ahead.
Joe Meares: Hey guys, This is Joe Meares on for Terry. Thanks for taking the question. I was just wondering how is early customer feedback with the recently released new scheduling tools, the COVID tracker and diversity tools. And do these drive higher ASPs? Or is this more just a differentiating factor that customers actually get for free?
Steve Beauchamp: Sure. So those are all included in the platform and free and available, and so I think they definitely drive differentiation. And we’ve had good receptivity of all of those. I would say the COVID tracker obviously was launched on the idea that there would be legislation mandating a lot of customers to track that. We still get usage from some of our customers who are choosing to track that, but that’s not necessarily nearly what we would have forecasted had that law passed. But I still provide great differentiation and highlight some of the workflow capabilities that we already have built in the platform. So, you can look at something like COVID tracking and find other use cases to be able to use those capabilities so that definitely is a differentiator.
Joe Meares: That’s super helpful. And then just as a follow-up. You posted 24% EBITDA margins, the targets 30% to 35%. Could you just remind us and investors what are the biggest puts and takes in the P&L that gets you to that range over time? And is it a time frame thing? Or is it like a revenue size thing? How should we think about timing on that?
Toby Williams: Yes. So, I think we remain committed to the 30% to 35% margin target, I think that’s achievable over time. I don’t think that is a ceiling. But I think if you go back to the pre-COVID time frame, we were making pretty consistent progress from a year-over-year leverage standpoint, and we were just below that 30% mark. I think you’ve seen a bunch of noise certainly over the last, call it, 18 months to 24 months introduced by COVID. But I think we still believe that we post-COVID over time, get to that 30% to 35% range. And I think as it relates to this year, calling it flat, just under 27%, and I feel like we’re on a pretty good path this year, performing against that, especially in the context of essentially maintaining that margin guidance in the context of also doing two acquisitions that are providing roughly 50 basis points headwind to that. So still the same I think, target over time. Certainly, this is a business where you get margin leverage with scale. And so the other part of your question is there’s time, but there’s also – you get the benefit of scale with larger revenue size. So, I think the growth profile remains as we’ve described it and margin target does to.
Joe Meares: Appreciate all the colors. Thanks
Operator: Thank you. Our next question will come from Brad Reback with Stifel. Please go ahead. I believe we’ve lost Brad. We’ll go to Pat Walravens with JMP. Please go ahead.
Pat Walravens: Great. Thank you and congratulations to you guys. So Steve, 34, 34, 30, I mean, I know the comps are easy, but you’ve always sort of consistently guided us to suggest this was sort of a 20% plus grower. Is something changing or is it just easy comps?
Steve Beauchamp: Yes. So, I think if you go pre-COVID, we had kind of accelerated probably from kind of 23% to 24% to just above 25%. So, we were kind of in that mid-20s. We definitely are focused on 20%-plus from a long-term model perspective. That still seems to be our target. And then during COVID, for the main reason is less employees on the platform, you saw that go down to the low teens. And now we have the easier comp, as you mentioned. And so two quarters of 34% certainly feels good. But I would tell you the business feels pretty normal to what it did pre-COVID. So just the momentum that we’ve got in the business, the way we’re growing the business. And so I don’t necessarily think fundamentally, our long-term model has changed because we’ve gotten a little bit of an acceleration. We’ll see if we can certainly ride some of that momentum, and we feel good about the guidance going forward. So it’s easier comps. It’s a little bit of momentum in the business, and it’s kind of getting back to what we were doing before.
Pat Walravens: And what do you staff as you think about staffing up on the sales side and building your quota capacity, what do you target in terms of the growth of that?
Steve Beauchamp: Well, so the part of the equation ends up being what do we think we can do from a productivity perspective. And so we always love the idea of being able to drive productivity. We are on a good productivity pace pre-COVID. And then as COVID hit, that bounced around on us. It’s – and we called out the last couple of earnings calls that we’re very close to pre-COVID levels of performance in the sales force. I would tell you that we’re actually seeing productivity increases in the sales force again, which is very encouraging. So, we’ll take that. We’ll factor that into next year. And I would think about it the same way we’ve done historically, which is kind of a similar number of reps that we add to be able to kind of get us to our financial targets and get back to productivity increases, which is great for us to see.
Pat Walravens: Okay, great. Thank you.
Steve Beauchamp: Do we have another question? Operator, do we have another question? I think just waiting to get somebody into the queue here, should just be a second. Seems like we’re having some technical difficulty getting someone in the queue. We have somebody else? Well, we’re definitely having technical difficulty. We’re going to have to dial back anything? All right. We’re on line with the operator. We’re trying to figure out what’s going on. So I appreciate your patience here. We can get the next question in the queue. It seems like we do great with Zoom calls days, but somehow we’re struggling with the old fashion conference call. [Technical Difficulty] Did you get a message on you can still hear me, so that’s good, but we can’t hear you and we can’t get somebody into the queue. So, we’re on line with the operator messaging back and forth trying to figure it out. So, do we have any stories you want to share while we’re waiting for the next question.
Toby Williams: Well, we’re sitting here in chamber, and it has been a cold and snowy couple of days. So bearing out the here.
Operator: And our next question comes from Bryan Bergin with Cowen.
Bryan Bergin: Hey, guys, do you hear me?
Steve Beauchamp: We got somebody. Thanks for your patience.
Bryan Bergin: All right. First one for demand. So clearly, it sounds like it was really strong in 2Q. But do you see any change in the number of meetings or any change in client decision-making later in 2Q, or thus far in 3Q just due to Omnicron.
Steve Beauchamp: Yes. So I would say we didn't see impact from Omicron whether that was in our client base and the number of employees that were on the platform or even in our sales motion, we had a really strong January such a big sales month for us, and we're really pleased with sales going into January and then with our starts in January and our ability to guide strong for the back half of the year. So I wouldn't say anything changed from number of meetings or activity in the market. It definitely feels kind of very pre-COVID like in terms of getting back to the normal number of meetings and activity levels and the conversations that we're having with clients. I think in a market like this with tight labor, human capital management is a hot topic.  And I think it's at the forefront of people trying to figure out how do they attract and retain talent. And so I think that part of the conversation has certainly elevated and has become more important, but definitely pre-COVID level of activities.
Bryan Bergin: Okay. That's good to hear. And then just on the formal raise of the target market, the 5,000. Can you just talk about a bit around the sales cycles and the implementation time frames of clients in that kind of 1,000 to 5,000 level versus your average client size in that prior target market?
Steve Beauchamp: Sure. So as I mentioned earlier, the prior question, we've been in that market for a while. We definitely see our most experienced reps really tackle those opportunities. And so it does have a larger sales cycle. Our typical sales cycle of that 100 employee is more like 60 days. And so that can be measured in some number of months. It could be three to six months on a sales cycle in that upper tier and the 1,000 plus. And then from an implementation perspective, we're typically in that 100-employee customer, it's really going to be kind of almost three to six weeks to get somebody up and running and live. And so we could do the larger clients in six weeks, but what we find with what the customers' needs are and the complexity, it's typically going to be more like eight to 12 weeks depending on that customer.  And we have our most experienced people already dedicated. We have processes already established for those larger customers. And we have different level of handholding that goes into those customers that has allowed us to get a significant number of customers in that space. So there's not a lot newer changes internally. This is something we've already been doing. And we feel like we've got a good number of referenceable customers and a great level of activity in the 1,000-plus market.
Operator: Thank you. Our next question will come from Matt Pfau with William Blair.
Matt Pfau: Hi, guys thanks for taking my questions. I wanted to just follow up one more question on 1,000-plus customers. How much of the platform do those customers typically take relative to, say, your more average client with around 100 employees? And then it seemed like some of your recent acquisitions like Blue Marble and even Cloudsnap would be providing functionality that would probably be more important to customers on the larger end of your market? Is that sort of a deliberate motion? And do you continue to plan on making acquisitions to provide the functionality for that upper end of your market?
Steve Beauchamp: Sure. So what I would say is the newer that our platform – the newer that we've launched a product, then sometimes the more features we need to continue to add for those larger clients. And so something like recruiting that's now been in the market for several years becomes naturally more competitive in that 1,000-plus space. Learning management, something that we've released probably on our latest HCM product. We continue to add features over time that will become even more competitive. And so you do see sometimes those 1,000-plus customers say, I've already got a solution for one of these components. I like the rest of your platform, I'm going to use the rest of your platform.  So you are correct to say data integration becomes an important part of that element. So maybe a little bit less product adoption than the average size customer, but you also get a lot more employees. So you have a lot more volume. And we've seen the products as we've improved them, we've seen those attach rates increase over time. And then I think the last part of your question was did an acquisition like Blue Marble target the larger clients. It does. I mean it's applicable you've got customers with 100 employees that have customers in different countries. But yes, it happens more frequently as you get a little bit larger. And so acquisitions like this that we think can have benefit to the entire client base, can sometimes skew a little bit to the upper end of the market.
Matt Pfau: Okay, great guys. Appreciate it.
Operator: Thank you. Our next question will come from Brad Reback with Stifel. Please go ahead. Mr. Reback your line is open, you can go ahead with your question.
Steve Beauchamp: Brad, I don't know if we want to hear your question somehow you're not able to kind of get through. So we're riding the wave of technical difficulties here.
Operator: We'll move on to Samad Samana with Jefferies. Please go ahead.
Samad Samana: Hi, great, thank you. And guys, nice to see the strong results. I will channel my inner Brad Reback and ask the you might have been thinking about as well. So Toby, first, I think we've dug into the operational side of moving to larger customers. But when I think about from your perspective as CFO, any change or how do you think about the guidance philosophy just given those customers may take longer to implement from bookings to revenue? Or just obviously, it's different maybe retention dynamic, just – how should we think about the revenue guidance as the up-market progress ramps? And are you going to change the philosophy anyway?
Toby Williams: Yes. I mean our philosophy has been pretty consistent over time in terms of how we think about the business and how we guide quarter-to-quarter and year-to-year. And I don't see this move, in particular, is having an impact on our guidance philosophy and how we think about it or provide the guidance quarter-to-quarter, year-to-year as we go forward. I mean one of the things I'd add to Steve's description of the move-up market is if you think back to how we described downmarket initiatives two, three years ago, what we had said was we've been seeing a lot of traction there, and we adjusted the TAM from an external perspective to really just describe the traction that we were seeing.  And I think it's very much the same case here with the up-market move. I mean, I think we've been seeing that happen successfully. We've seen the traction and I think this is a reflection just externally of what we've seen. So I don't think there's any significant change in terms of how we think about the operation of the business or how we think about the guidance philosophy aside from some of the descriptions Steve gave in terms of probably have slightly longer cycle times on sales and slightly longer cycle times on implementation. But we've been seeing that, and that's – we've been seeing that and seeing the traction over time.
Samad Samana: Great. And then maybe if I think about larger customers, at least in some pockets of you can have kind of a higher net revenue retention level, right? Just as you have more opportunities for cross-sell and up-sell. Any early data from your larger cohorts or customers that are – if they generate a higher NRR versus maybe your core SMB base? Or just anything that we can kind of answer could impact the model longer-term?
Steve Beauchamp: Yes. So let me start with the last part. Like the impact of the model, I'm not sure that two or three years from now, we're going to have a meaningfully more higher percentage of clients over 1,000 employees. So I think the point is we already have a fair number of customers over 1,000 employees. We hadn't called that out as a target market. This is not – we're going to push a much higher percentage of our growth to that market space. This is not meaningful enough. We have been paying attention to the last three years. We've got a lot of great clients there. We should call it out because it is naturally now part of our business.  And so I don't think this any changes to the economics sort of the way the business operates. But to answer your question directly, you do definitely see clients that are larger in general. They have less of out-of-business rate. And so therefore, because of the smaller out-of-business rate, you do see sometimes higher, both kind of net dollar retention and they have a propensity to buy more products. So if you've got great products that you're introducing, you're selling back to the client base, then as the client gets a little bit larger, their needs get more complex, they're more likely to buy it. So we love those customers. We've got a lot of them, and we think that there's a great opportunity to serve you more of them over time.
Samad Samana: Great, thanks again for taking my questions. And congrats on strong results.
Steve Beauchamp: Thanks.
Operator: Thank you. Our next question will come from Brian Peterson with Raymond James. Please go ahead.
Chase Donovan: Hey guys, this is Chase Donovan on for Brian. Congrats on the great quarter. Just one from us. Just on the – benefiting from the great recognition in fiscal 3Q, how should we think about the potential benefit from transactional form filing like W-2s. Thanks.
Toby Williams: Yes. I mean so just context from last year was because there was a trend of lower employees on the platform, which was observable across the industry with all the competitive set. W-2 revenue was down from a year-over-year perspective last year. I think what we've observed so far and have described a little bit is that W-2 revenue, you had employees in the platform coming back over the last quarters, really leveling out this past quarter. But prior to you had employees on the platform coming back. But I don't think we observed the same level of hiring and rehiring across the client base than you might have seen in prior years. And so I think W-2 revenue coming back versus where it was last year, not sure quite back to what you would have seen in terms of historical levels year-over-year.
Brian Peterson: Thanks guys.
Operator: Thank you. Our next question will come from Mark Marcon with Baird. Please go ahead.
Mark Marcon: Hey good afternoon. Let me add my congratulations. Is there any change in terms of the source of new clients that you're seeing just in terms of legacy regionals in-house? Any color?
Steve Beauchamp: Yes, Mark, I would tell you the big traditional players is still the place we get the most customers from. We definitely have had the opportunity over the last couple of years to expand into some kind of Tier 2 type markets where you see regional players often having a bigger presence. So they've probably come up a little bit as we've just naturally expanded geographies. But I think if you look at the big players, some of the growth players like us in-house and regional players, kind of a pretty consistent story over the last several years.
Mark Marcon: And Steve, what's – when you're winning relative to either the big players or some of the more modern players, what is the reason it comes up the most frequently at this point?
Steve Beauchamp: Yes. So I really think from our perspective, we're obviously pitching to customers is we have a lot of the same modules everybody else has, but we've got a much more modern view of how you should be interacting with your employees, and we've got a lot of tools that will actually help you attract and retain talent. So it's not just about saving time and automating. That's clearly part of the equation and important, but it's really about this idea of communicating and engaging with your employees, creating a great culture and environment. And if you do that, it becomes easier to attract and retain talent. And so examples of that obviously is community or video capabilities or some of the newer collaboration-oriented things that we're going to be launching. I mean that message seems to really be resonating versus simply a message about getting employees their data and automating, which is still important, but not enough anymore.
Mark Marcon: Great. And then, I mean, with the community and the widespread use across your clients and from an employee perspective, what are you seeing in terms of changes in terms of retention rates?
Steve Beauchamp: Yes. So I mean, we obviously give you an update on an annual basis. We've been over 92% for really our history. And we called out last fiscal year that we saw really record high retention rates, and some of that was probably COVID in terms of clients not moving back and forth. But we've been able to stay very high retention rates this fiscal year in a more normalized environment, which we feel great about.
Mark Marcon: That's great. And then last question. Obviously, rates are starting to move up. How are you thinking about just the investing the float balance and what the potential is there, particularly as you continue to grow and the average float balance continues to grow?
Toby Williams: Yes. So I mean, historically we've had a portion of – a very small portion of what we hold from client funds perspective invested outside of just overnight bank. And we continue to look at that as the rate environment changes. Obviously, to the extent that we do see rate increases come from the Fed, that will be a tailwind for us from both a revenue and from a profitability perspective, depending on the magnitude of those rates, obviously the magnitude of the tailwind. But just I think the first thing is to see what a rate increase looks like. And then second thing is that takes a little bit of time to come through to us. And then there's always discussions around how much of that we actually end up receiving. So I think to the extent we see rate hikes coming at us, that will be a tailwind for us and then it's just a question of the magnitude and the timing.
Mark Marcon: Appreciate the color. Thanks.
Operator: Thank you. Our next question will come from Alex Zukin with Wolfe Research. Please go ahead.
Alex Zukin: Hey guys thanks for taking the question. So this has been asked a couple of ways, but I'm going to try a different spin on it. If you think about all the tailwinds and headwinds in the business right now, whether it's the resignation, more employees leaving for different jobs or harder to hire talent, but also a kind of normalization of the movements between vendors in your marketplace being a potential tailwind. If you look at the tailwind headwind dynamic, how would you classify the demand environment kind of post COVID versus what you thought it would be, I am saying post-COVID – hopefully post-COVID, but what's the sense for that, I'm curious?
Steve Beauchamp: It's a good question. It's always hard to figure out when you're in the moment as well. So things that we look at is the sales level of activity, the number of presentations, the conversations that we see there, the broker channel referral activity that we're seeing and overall what's happening in the market. That feels very similar to pre-COVID level of activities. It's taken a while to get back to that, but if you net it all out, it feels like we're in a more normalized environment. I think there was 1 positive, I think from – I don't know if it's really a tailwind, but I certainly raise the level of importance of these conversations is, if you ask CEOs of our customers with 20 of your top challenges, they're going to tell you people and it's attracting and retaining talent. I'm not sure every single one of those customers would answer that question the same way three, four years ago. And so one of the things because of the great resignation and the movement that's going on and remote work and all of these trends and Gen Z entering the workforce, it's a challenging environment to be an HR professional and to make sure that you've got all the tools that allow you to drive the initiatives to attract and retain talent. That has become a more important part of the conversation than we saw a few years ago. And we think that our modern workforce strategy aligns really well to those challenges.
Alex Zukin: Perfect. Steve. So I guess, Toby, the question for you would be, if I look at the guidance and I think Samad asked this, I'm going to try it a different way. Look, you've beaten your guidance by the most – you've ever beaten it by the last two quarters and the raise for the year from a percentage basis in a 2Q is also larger than I've ever seen it in a 2Q. So is it something that's surprising you? Did you – have you changed to be more conservative in kind of the methodology? Just why – what is leading to this larger variance dynamic, which is great by the way, not sure you should change it, but I'm just curious what's driving that?
Toby Williams: Well, I think you just got a ground in some of the moving pieces that we've had that are still providing impact to the business. So I think you used the phrase sort of post COVID, maybe we are, maybe we're not. But the recency of being in the depth of that we're seeing tailwind from, I think, easy comps over these last two quarters. And so you've seen – you've also seen employees in the platform coming back. And I think there's nothing that's changed about our guidance philosophy. I think we've taken the same philosophy that you've just got, I guess, to the question that you asked, Steve, you've got headwinds that we've been estimating sort of best you can with a consistent philosophy and consistent sort of method of estimating. I think you get through some of those, and you start to get into next fiscal year. And I think one would hope that you have a more normalized environment. But I think this fiscal year we are still living in an environment where the puts and takes of COVID over the last 24 months, you don't have a perfect crystal ball in your ability to estimate. I think to some of the earlier questions, though the things that we are seeing are the demand environment returning to a pre-COVID level. We're seeing employees in the platform return to a pre-COVID level. We're seeing the levels of sales force productivity return to pre-COVID levels. And so I think overall, when we came into the pandemic, what we had said was we were going to try and drive things such that when we came out of the pandemic, we'd return to the same level of momentum that we were seeing coming into it. And I think we're starting to see that come through.
Alex Zukin: Perfect. And I guess maybe just to sneak in one final one. If I think about employment trends in general, I think before you had talked about how you thought about employment trends being a general tailwind in terms of revenue growth for the year. With respect to what you're seeing out of the current employment reports, trends and even the data out of your own system, is there any updated thoughts to how to think about employment trends, both for this year, but even maybe longer term, given what we're seeing in the market?
Steve Beauchamp: Yes. So I would say prior to this pandemic and obviously huge cycles that we've gone through, it was actually reasonably predictable. So what you would see is if you've got a growth GDP environment, and obviously we were in kind of a lower growth environment for a lot of years. So if you see GDP growing at a couple of percentage points or 2 or 3 percentage points, employees on the platform would grow something less than that. It would grow a little bit. It would provide a little bit of tailwind. And then I've lived through a couple of recessions in this business myself as well, and you typically would see the employees on the platform do the same thing the other way, which is you would then start to see them decline. But it would stay – would never be right on GDP, but it would be a little bit less than GDP on both sides of the equation. Much harder to predict right now, I mean, that's the reality of it. And I think that's part of what Toby said before, which is predicting employees on the platform has been more challenging. I have to think that over time, it probably returns to a similar dynamic when we get to kind of less variability in those numbers. But that's the way we try to plan it. We try to be conservative in terms of what we're seeing today, not plan for increases into the future. And then – but I don't think there's a lot left in that tank anyway. So we feel like we've gotten a lot of that benefit over the last probably, certainly four quarters.
Alex Zukin: Perfect. Well congratulations guys. Just another awesome quarter.
Steve Beauchamp: Thank you.
Operator: Thank you. Our next question will come from Daniel Jester with BMO Capital Markets.
Daniel Jester: Great. Thanks for taking my question. I want to go back to the modern workforce apps we talked about it a couple of times so far. I guess who's driving that engagement? Is that clients that have joined in the last year and change? Or is that seeing – you're seeing that kind of more broadly across the whole platform. And I guess maybe to expand on that, are you doing anything different to push those back into the base relative to other products you released?
Steve Beauchamp: Yes, it's a good question. Right now, we're seeing it being driven by both. And so the newer clients, because they're going through the sales process and they're feeling this pressure in the marketplace and they're looking at our solution, they definitely want to leverage these types of tools, and they're more active in terms of getting on set up with community, launching announcements, using things like video and then just getting engaged with their employees earlier in the implementation cycle. So we definitely see January starts actually using community in January, which if you go back a couple of years ago, we didn't see as much of that occurring. Now there's a lot more features in there. So that's certainly part of the equation. The other thing is we've definitely taken this kind of best practice approach back to our customers and said to them, listen, we've got some ideas in terms of how you can engage with your employees differently. We do that a lot through this Modern Workforce Index, which allows us to score customers in the same industry based off, how engaged their employees are. And we actually tell them how they're doing versus the customers who are retaining employees and growing faster than them. And then we have a recommendation engine with machine learning technology behind that, that is surfacing the recommendations that we think to move the needle. And so that is a relatively new feature that we've added. And so we've been driving activity levels over the last six months, higher activity levels into MWI and I think that's probably been one of the bigger contributors in seeing our existing clients use more community features or even use things like surveys and learning.
Daniel Jester: Okay. That's helpful. Thank you. And then Toby, I'm sorry if I missed this. But did you call out how much Blue Marble will add its revenue in the quarter?
Toby Williams: We didn't. I think we had initially characterized that as less than 2% of overall revenue for the year. And so that was the characterization we provided.
Daniel Jester: Okay. And performance in the quarter was consistent with that.
Toby Williams: Yes.
Daniel Jester: Okay. Great, thanks very much.
Toby Williams: Thank you.
Operator: Thank you. Our next question will come from Robert Simmons with D.A. Davidson. Please go ahead.
Robert Simmons: Hi, thanks for taking the questions. Can you talk about what you're seeing in terms of the wage inflation, both in terms of customers or potentially boosting your float balances in the slot revenue and then also feature on hires actually impacting margins.
Toby Williams: The question had come through clearly. I think I heard the first part was around what's driving, I think, float balances. And so we had – we saw about $1.8 billion in average daily balance in the quarter. We had provided the guidance of being around $2.2 billion for Q3. And I think typically, what you see is the Q3 float balance is higher. And I think in terms of quarter – sequential quarter-to-quarter change pretty much in line with what we would have seen in other years and nothing different from a seasonality perspective. Sorry, that was best attempt to what we heard come through on the question.
Robert Simmons: Sorry, I was actually asking about wage inflation, that's impacted both on the float and then also on your own margins.
Steve Beauchamp: Yes. So I think wage inflation doesn't have a big impact to our business realistically because it can ultimately allow us to have a little bit more float. The float happens more on the tax side. There's some float in direct deposit, but then that – the wage inflation then translates to a smaller percentage of taxes that you hold for a period of time. And then obviously, with rates where they are right now, it doesn't have a very meaningful impact to our business. Now as rates increase, that starts to be more material, but still in the big scheme of things, it's relatively small.
Robert Simmons: Got it. And then how would you characterize the competitive field upmarket above 1,000 versus the lower end of your range and lower you range?
Toby Williams: Well, I think from a competitive set perspective, depending on how high you go, you may see a slightly different competitive set. But I think we would have described the competitive dynamics sort of in that 1,000-employee market as usual suspects you might see in other deals. You might see ADP you might see UKG or formerly ultimate there. You go up a little higher. You might see somebody like a – and I think those are – Paycom would be there. I mean I think those are the names that you would see most frequently at sort of the upper end of our market as we would have described it previously around 1,000 employees. And I think generally speaking, same competitive dynamics that I just described in that 1,000 to 5,000 segment.
Robert Simmons: Yes, great. Thank you very much.
Operator: Thank you. Our next question will come from Siti Panigrahi with Mizuho. Please go ahead.
Siti Panigrahi: Thanks for taking my question. Most of my questions were asked. I just want to ask about this Cloudsnap acquisition. I understand the need for the data integration side. But wondering, what's the rationale behind that data integration to be owned by HR department. Any comment would be helpful.
Steve Beauchamp: Yes. So I would put this into a category of if this could really accelerate our strategy that we already have from a data integration perspective. So our clients come to us today and they ask us to integrate with a wide variety of systems. Some of those systems actually power our broker referral channel, so they can be benefit systems. They can be 401(k) systems. Other times, it's financial systems like getting the general ledger data back into their GL systems, so on and so forth. So we have hundreds and hundreds of integration partners that we integrate with today. What Cloudsnap really does is really take more of a low-code automated approach towards these integrations. And so we can imagine that leveraging their capabilities to provide a much more modern experience, clearly API-driven real time. And then the whole configuration time when you're using their tools can shrink dramatically and the transparency that we can give to customers. So I wouldn't think about it as like a different business segment that we're going to go after, but technology that can kind of power our existing integration strategy and have an impact to the type of value that we're offering both our customers and our partners.
Siti Panigrahi: Thanks for that color.
Operator: Thank you. Our next question will come from Arvind Ramnani with Piper Sandler. Please go ahead.
Arvind Ramnani: Hi, thanks for taking my question. Just a couple of quick ones. I wanted to ask from a competitive dynamic perspective, do you run into the takeaway business from some of the legacy deal providers? Are you mostly taking business away from the legacy sort of providers?
Steve Beauchamp: Yes. So the PEO market isn't one that we compete with a lot. It does happen. I think that would be a very small percentage. You typically see PEOs being the most popular as customers are kind of in that growth stage and so 20, 30, 40 employees, they're clearly clients that use the PEO that are larger and smaller than that, but that's at least where we see it most commonly. And so sometimes, somebody might be exiting a PEO and coming on to our platform. You might have somebody who might go the other way, but that's a small number that would move from us to a PEO, and it's a small amount of our percentage of new sales. So we wouldn't necessarily see them as a competitor that we run into very frequently.
Arvind Ramnani: Great. And then can you remind me the math on kind of float revenue as rates go up? I know you all have provided previously when rates were more meaningful. But how should we think of like every 25 bps increase in interest rates impacting your margins?
Toby Williams: Yes. So just I think the backdrop is now we've seen and we've called this out from a guidance perspective too, between 5% and 10% basis point expectation in a quarter and yield. I think, I don't know what we might see from the Fed, but I think you can do the math on, just to say, for example, 25 basis point raise on $2.2 million. I think the only sort of practical element of that is we don't always get – in fact, we don't get all of that 25 basis points, and we don't get it immediately. So it depends on – I mean, we have 10-plus banking partners that we work very closely with, and it's a conversation with each of them around the timing and the amount of that 25 basis points that we would get. But that's how that practically works. So you're talking about how much do you get, and then over what time does that flow in. I think typically, you get at least half of that, but it varies by bank and the timing does as well.
Arvind Ramnani: Great. Terrific. Thank you very much.
Operator: Thank you. Ladies and gentlemen, thank you for participating in today's question-and-answer session. I would now like to turn the call back over to management for any closing remarks.
Steve Beauchamp: Thank you very much, everybody. Appreciate your patience as we worked our way through some technical difficulties. I'm glad we were able to get to everyone's questions. I just want to wrap up with thanking all of our Paylocity team who's really been working hard through a really busy year-end and managing all of the changes that have hit us, whether it's the legislation that we've dealt with or obviously, Omicron and everybody working from home just a great job by our team. So I hope everyone has a great night. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.